Christian Arnell: Thank you. Hello, everyone, and thank you for joining us for today, 500.com's Fourth Quarter and Full Year 2014 Earnings Conference Call. The company's results were released earlier today and are available on the company's IR website at ir.500.com, as well as PR Newswire's wire services. On the call today from 500.com are Mr. Vincent Law, Founder, Chairman and Chief Executive Officer; Mr. Zhengming Pan, President; and Mr. Min Yu, Chief Financial Officer. Mr. Law will discuss 500.com's business operations and company highlights, followed by Mr. Yu, who will go through the financials and guidance. They will all be available to answer your questions during the Q&A session that follows. I remind you that this call may contain forward-looking statements made under the safe harbor provision of the Private Securities Litigation Reform Act of 1995. Such statements are based on management's current expectations and current market and operating conditions and relate to events that involve known or unknown risks, uncertainties and other factors, all of which are difficult to predict and many of which are beyond the company's control, which may cause the company's actual results, performance or achievements to differ materially from those in the forward-looking statements. Further information regarding these and other risks, uncertainties and factors is included in the company's filings with the U.S. Securities and Exchange Commission. The company does not undertake any obligation to update any forward-looking statement as a result of new information, future events or otherwise, except as required under law. I will now read Mr. Vincent Law's prepared remarks for him in English. Hello, everyone, and welcome to our Fourth Quarter and Full Year 2014 Earnings Conference Call. We finished 2014 on a strong note with all our financial metrics increasing across the boad. Net revenue and non-GAAP net income for the year saw solid triple-digit growth, with net revenues increasing 123.4% and non-GAAP net income increasing an impressive 344.2%. Our strong finish to the year was driven by another solid quarter of growth where net revenues increased 52.1% year-over-year to USD 23.6 million. Total purchase amount continued to grow rapidly, increasing 63.7% to USD 283.3 million, while non-GAAP net income almost doubled to USD 8.3 million from the same period last year. We continued to invest in the marketing of our mobile platforms, as purchases made through mobile channels approaches 1/2 of all purchases. Our mobile app alone now accounts for approximately 44 -- 42% of all purchases made. We expect to see this trend continue in the future as we roll out new functions and games to enhance the overall mobile experience. Now I'd like to turn the call over to Min, who will go through the financials.
Min Yu: Okay, thanks, Christian. I'd like to begin by going over a few of the operational metrics. Active users decreased 71.9% sequentially to approximately 984,000. This was primarily due to increased user activity in connection with the FIFA World Cup which was held during third quarter of 2014. New active users, which is defined as a user who made their first purchase during the current year, decreased 73.9% sequentially to 844,000. Active new users accounted for over 52.4% of our total purchase amount. Our user base continues to diversify across 3 platforms. And in particular, we are pleased to see a continued migration to our mobile app. Active mobile apps users accounted for 41.4% of our total purchase amount, up from 38.4% during the third quarter of 2014. Our mobile platforms combined now account for over 46% of the total purchase amount. Direct active users, which is defined as users who access our products directly through our PC and mobile app, were 572,000, accounting for USD 272.8 million or 96.3% of our total purchase volume. Third-party channel active users were 412,000, accounting for USD 10.5 million or 3.7% of the total purchase amount. Let me now walk you through the major financial items from the fourth quarter of 2014. Net revenues were USD 23.6 million, up 52.1% from the same period last year and down 22.1% sequentially. Total purchase amount was up 63.7% year-over-year to USD 283.3 million and down 21.7% sequentially. The sequential decrease was primarily due to increased user activity in connection with the FIFA World Cup held during the third quarter of 2014. In terms of GAAP reporting, we are required to report our revenues at the net level in terms of day-to-day management. We pay closer attention to total service fees, which is a commission rate of the total purchase amount. For the fourth quarter, total service fees received were USD 28.1 million, up 45.5% from the same period last year and down 23% sequentially. Operating expenses were $22.1 million, up 101.6% from the same period last year and down 8.2% from last quarter. Cost of services was USD 2.4 million, up 77.1% from the same period of last year and down 10.9% from last quarter. The year-over-year increase was mainly a result of the increase in account-handling expenses for our mobile distribution channels, while the sequential increase (sic) [decrease] was mainly due to accrual of bonuses during the fourth quarter of 2014. Sales and marketing expenses were USD 7 million, up 86.8% from the same period last year and down 25.7% from last quarter. The year-over-year increase in sales and marketing expenses as a percentage of net revenue was mainly due to the increase in headcount of our sales and marketing department, while the sequential decrease was mainly a result of costs incurred in connection with the increased promotional activities during the FIFA World Cup. G&A expenses increased to USD 8.7 million, up 101.9% from the same period of last year and a 2.7% from the previous quarter. The year-over-year increase was mainly a result of increased share-based compensation expenses associated with the share options granted to our employees in the second quarter of 2014. Service development expenses were USD 4 million, up 155% from the same period of last year and 35% from last quarter. Both the year-over-year and sequential increases were mainly due to an increase in accrued bonuses and share-based compensation expenses associated with the share options granted to our research and development employees. Operating profit was USD 3.1 million, down 44% from the same period last year and 51.7% sequentially. Non-GAAP operating profit was USD 9.1 million, up 46.6% from the same period of last year and down 29% from last quarter. This resulted in net income of USD 2.3 million and a non-GAAP net income of USD 8.3 million. This translates to basic and diluted earnings per ADS of USD 0.07 each; and a non-GAAP basic and diluted per earnings per ADS of USD 0.24 and USD 0.23, respectively. And lastly, our balance sheet remains extremely healthy. As of December 31, we had no debt and a combined of USD 147.3 million in cash and cash equivalents, restricted cash and time deposits. Next, for the major financial items from the full year 2014. Net revenues were USD 93.4 million, up 123.4% from last year. Net income attributable to ordinary shareholders was USD 25.3 million, up 48% from last year. Non-GAAP net income attributable to ordinary shareholders was USD 39.8 million, up 344.2% from last year. Basic and diluted earnings per ADS attributable to ordinary shareholders were USD 0.74 and USD 0.71, respectively. Non-GAAP basic and diluted earnings per ADS attributable to ordinary shareholders were USD 1.17 and USD 1.11, respectively. Now I will quickly go over our guidance. Looking ahead, we expect the total purchase amount in the first quarter of 2015 to be between USD 270 million (sic) [USD 274 million] and USD 290 million, which represents a year-over-year increase of 61% to 71%. With that, I would like to open the call up to questions now. Operator, go ahead.
Operator: The first question comes from Mike Olson with Piper Jaffray.
Michael Olson: I just had one, and it's on mobile. You said that mobile accounted for 41% of total purchase amount in Q4. Where do you expect that will be a year from now? And should we expect it to be, I guess, over 50%, for example, by the end of 2015? And can you remind us if mobile users have any characteristics that are different than PC users? For example, do they spend more, or less, for each transaction? Are they more- or less-frequent users? Stuff like that.
Zhengming Pan: Okay, this is Zhengming speaking. First of all, in our reports, we just said the mobile purchase through our mobile application accounted for approximately 42%, while the total purchase on mobile platforms accounted for approximate 46% of the total purchase amount in this current -- in the past Q4. A year from now, we do believe that mobile purchase in our total purchase amount will accounted for more than 1/2 of our purchase amount. In terms of the average spending, I think, for this quarter, the average spending per user on mobile is approximately the same as the users on the PC platforms.
Operator: And the next question comes from Alan Hellawell with Deutsche Bank.
Anne Ling: Actually, this is Anne Ling on behalf of Alan Hellawell. I have 2 question. The first one is regarding your ARPU. My calculated blended ARPU this quarter seems halved a lot [ph] year-on-year and Q-on-Q in both new users and old users. So I wonder what other implications do you see from this? Does it mean you have already figured out all the high rollers in the user pool? And what the ARPU trend in this year do we expect? And my second question is regarding -- also regarding your service development cost. You have mentioned that the costs are mainly caused by the bonuses and SBC to the R&D employees. I want to -- also want to ask whether there are some projects and offerings that this cost related to directly?
Min Yu: Okay, thanks, Anne Ling. I think I will take your questions. First, regarding to ARPU, we didn't intentionally to take out those high-ARPU users. I think the number you calculated is a blended ARPU with all users in the purchase amount. And I also think that ARPU for the next year we probably will see very stable, and we are not expecting large growth from ARPU. And for your second question, regarding to the service development expense, it's a overall spending to our R&D team, and there is no relevant -- we did not specifically divide which portions of the expense to which project. That service development cost is mainly for all the service development employees in the company.
Anne Ling: Sorry, just a quick follow-up. Do -- in such case, do you expect that service and development costs will be at the similar level this year?
Min Yu: For 2015, we -- yes, we have budgeted service development costs close to current-year level.
Operator: [Operator Instructions] And our next question comes from Nick Ning with 86Research.
Nick Ning: So my question is on the paying user, which was -- which declined by more than 70% in Q4. So I'm curious, where do these users go, if we have any idea? Do they just stop buying lotteries? Or do they go to other websites to purchase lottery tickets? And with the Asian Cup in January, have we already seen a big increase in the number of paying users?
Zhengming Pan: This is Zhengming speaking. I think this -- as we explained, this is mainly because we had a particularly high number of users, paying users, during Q2 and in Q3. I think we have previously discussed with various investors that we -- according to our historical experiences, we believe that most of the users that we had during the World Cup were gone for good or at least for quite a while, maybe 4 years. So now we believe this is the -- this is what happened in Q4.
Nick Ning: So in Q1 with the Asian Cup, we expect a big number of them to come back to play, or what's the trend we have seen, so far?
Zhengming Pan: We have already guided our -- the sales amount which is -- in RMB terms, which is approximately RMB 1.7 billion to RMB 1.8 billion. That represents a sequential growth from Q4. And historically, our Q4 -- Q1 is typically lower than the previous Q4, but we do -- based on our cost estimation been, Q1 sales is going to be higher than the past Q4.
Nick Ning: Okay. So how do we see the overall Q1 sports betting market trends, so far, and our market share in this quarter?
Zhengming Pan: Again, we have already provided our sales -- total purchase amount guidance. And we don't know the market share for now, at least until end of the Q1.
Operator: All right, as there are -- is nothing more at the present time, I would like to turn the call back over to Christian Arnell for any closing comments.
Christian Arnell: Thank you. In closing and on behalf of the entire 500.com management team, we'd like to thank you for your interest and participation in today's call. If you require any further information or have any interest in visiting the company in China, please let us know. Thank you for joining us today. This concludes the call.